Operator: Good day, and thank you for standing by, and welcome to the Subsea 7 S.A. Q1 2021 Results Conference Call. [Operator Instructions]. For your information, this conference is being recorded. Now I would like to hand the conference over to your speaker today, Katherine Tonks. Please go ahead.
Katherine Tonks: Welcome, everybody. With me on the call today are John Evans, our CEO; and Ricardo Rosa, our CFO. The results press release is available to download on our website along with the presentation slides that we'll be referring to during today's call.  May I remind you that this call includes forward-looking statements that reflect our current views and are subject to risks, uncertainties and assumptions. Similar wording is included in our press release.  I'll now turn you over to John.
John Evans: Thank you, Katherine, and good afternoon, everyone. I will start with highlights from the first quarter before passing over to Ricardo to cover the financial results. Turning to Slide 4. Subsea 7 delivered solid revenue and EBITDA growth in the first quarter and made progress on its strategic objectives. Revenues improved 33% year-on-year to $1 billion, driven by both renewables and subsea and conventional, while our EBITDA margin improved slightly to 10%.  At the end of the quarter, our balance sheet remains strong with $527 million of cash and equivalents and net cash of $74 million. We announced 2 exciting projects this quarter. First, our entry to the carbon capture market with the award that's part of the Northern Lights project; and secondly, a new joint venture in floating wind. Turning to Slide 5 and our operational highlights. During the first quarter, we completed the Zinia project and restarted work on the Barossa project, Seven Eagle, finished our scope of work on the West Barracouta work in Australia and equipment fabrication continued for the Sangomar project in Senegal.  In the U.K., Seven Atlantic executed our scope of work on the Pierce project. Whilst in the Gulf of Mexico, Seven Navica, Pegasus, Oceans and Pacific, continued offshore activities on Ichalkil and Mad Dog 2. The PLSVs achieved good utilization despite the challenges of COVID-19 in Brazil.  In Saudi Arabia, Seven Champion recommenced installation of the 28 jackets and 3 gas PDM projects and preparations continued for Berri-Zuluf. After our hiatus in offshore activity in Saudi Arabia during 2020, we expect the Seven Champion to be busy throughout 2021.  The Renewables business unit continued to make good progress in the fabrication of jackets and inner-array cables for Seagreen, but Seaway Yudin remained on standby for most of the quarter due to weather in Taiwan, while Seaway Aimery and Seaway Moxie were in transit to Europe for Hornsea Two.  As we flagged in the last quarter, we experienced a seasonal swing in vessel utilization this quarter with several of our global enablers in Transit. Seven Vega also incurred downtime for repairs after storm damage and only returned to full operation in mid-April. The delay in executing BP Manuel has had a knock-on effect on the Seven Vega's other projects, but these have largely been accommodated through the reallocation of work to our other pipelay vessels.  Turning to Slide 6. We ended the first quarter with a backlog of $6 billion, up 6% from the first quarter last year and broadly in line with the year-end 2020 position. During the quarter, we announced the award of SLGC in Angola and Northern Lights in Norway as well as an order for an unnamed project within Subsea and Conventional. Including unannounced awards and escalations, we achieved a book-to-bill ratio of 0.8x, a good outcome for a relatively quiet quarter.  We have good visibility on revenue for the remainder of 2021, with $3.4 billion still to be executed, whilst our 2022 backlog of $1.6 billion is in line with the equivalent level reported at the same point in 2020 and 2019.  And now I'll pass over to Ricardo to run through the financial results in more detail.
Ricardo Rosa: Thank you, John, and good afternoon, everyone. Slide 7 shows our income statement highlights. First quarter revenue was $1 billion, 33% higher than the prior year period, reflecting higher levels of activity in both the Subsea and Conventional and Renewables business units.  Adjusted EBITDA of $102 million after incurring net costs associated with COVID-19 of approximately $9 million was up 50% year-on-year. This resulted in an adjusted EBITDA margin of 10%, a modest improvement on the prior year period margin of 9%. Net income was $1 million equivalent to diluted earnings per share of $0.01.  Turning to Slide 8 for additional details of the income statement. Administrative expenses improved by $7 million against the prior year, reflecting progress in the implementation of our cost-reduction plan.  Depreciation and amortization decreased by $6 million compared to the same period last year, reflecting the impact of reduced vessel lease commitments. The net operating loss of $9 million in the first quarter included $9 million in net COVID costs and a credit of $18 million, mainly related to downward revisions to the restructuring costs of the group's resizing program. Finally, other gains and losses of $16 million included net foreign currency gains of $9 million.  On Slide 9, we summarize the performance of our 3 business units. The Subsea and Conventional business unit, which encompasses all our activities in oil and gas, generated $735 million of revenue in the first quarter, 10% higher than the prior year period. Mainly due to higher activity in the Gulf of Mexico, Brazil and Saudi Arabia.  As John mentioned, for vessels, we're active on offshore phases of projects in the Gulf of Mexico. While we had good utilization of the PLSVs in Brazil and the quarter benefited from higher activity on 3 of our contracts in Saudi Arabia. We also recorded some progress on the LingShui project in China as Seven Borealis mobilized to the region.  Renewables revenue was $241 million, a near fourfold increase compared to the prior year, mainly driven by the ramp-up in activity related to the Seagreen project. Our corporate business unit, which now includes Xodus and 4Subsea, our autonomous subsidiaries, which provides specialized in engineering services, generated $20 million in revenue.  Subsea and Conventional recorded a $7 million net operating loss in the quarter compared to a loss of $28 million in the first quarter of 2020, reflecting increased conventional activity in Saudi Arabia and the completion of the Zinia project. This was partly offset by high levels of transit time for the global enabler vessels. The net operating loss of our renewables business unit was $20 million, in line with the first quarter of 2020.  Progress on Seagreen continued as planned, but was offset by bad weather affecting Seaway Yudin in Taiwan, Seaway Strashnov undergoing maintenance in shipyard and the transit of both Seaway Aimery and Seaway Moxie to the North Sea.  In the Corporate business unit, net operating income of $18 million reflected the $18 million credit relating to the resizing program I mentioned when discussing the previous slide.  Slide 10 shows our cash flow waterfall chart quarter. Net cash generated from operating activities was $71 million despite a $25 million adverse movement in working capital, driven by a combination of reduced operating liabilities and a minor increase in operating receivables. There has been no deterioration at this juncture in client payments.  Our capital expenditure was $24 million, including payments related to the conversion of Seaway Phoenix, dry docking costs associated with the Seven Falcon and continued investment in the group's digitalization program. At the end of the quarter, we had $527 million in cash and cash equivalents, an increase of $15 million from the end of 2020.  Our net cash position improved to $74 million, including lease liabilities of $251 million. Our capital allocation strategy remains unchanged. And you are familiar with our 3 priorities: reinvesting in the business, protecting the balance sheet and returning excess cash to shareholders. Approval from our shareholders at our AGM held on the 14th of April, the Board reaffirmed its commitment to returning excess cash to shareholders by extending the authorization to repurchase shares until April 2023. A $190 million of the current $200 program is outstanding.  To conclude, Slide 12 shows our guidance for the full year. Guidance for 2021 remains largely unchanged the last update in February. Subject to the impact of COVID-19, we continue to anticipate revenue and adjusted EBITDA to be above 2020 levels with positive net income.  Net operating income. The financial impact of COVID-19, including the rate of recoveries from clients remains very difficult to predict. The operational challenges have not diminished since 2020, and it is possible that going forward, the quarterly charge could revert to levels reported in Q2 and Q3 last year. We have made a minor adjustment to our guided tax charge range, which has been up with $10 million, mainly to reflect increased tax burdens in certain jurisdictions.  I'll now pass you back to John.
John Evans: Thank you, Ricardo. On Slide 13, we revisit the summary of our 2-pronged strategy, comprising Subsea Field of the Future Systems and Delivery and the Proactive Participation in the energy transition. Today, we'll take a closer look at the progress we've made in the first quarter in emerging energy and in renewables.  Turning to Slide 14. The we were very pleased to win our first carbon capture award during the quarter, a part of Equinor's Northern Lights project in Norway. Subsea Seven will be responsible for the engineering, fabrication and installation of a pipeline running 100 kilometers from shore to the offshore field with carbon dioxide emitted by cement and waste-to-energy operations will be permanently sequestrated.  The project plans have an initial capacity of up to 1.5 million tonnes of CO2 per year, and it will be operational in 2024. The carbon capture market is expected to grow significantly in the coming years as governments increase their targets to cut CO2 emissions, and we are well placed to seize the opportunities that this will bring.  Moving to Slide 15 and the latest progress in our renewable strategy. During the quarter, we announced a new joint venture with Simply Blue Energy for the Salamander floating offshore wind project in Scotland. Subsea Seven has taken a minority stake in its pre-commercial 200-megawatt project and will bring to the joint venture its expertise in delivering offshore energy projects. And its knowledge of the Scottish supply chain.  Simply Blue Energy will bring its floating wind development experience from the Xodus has been supporting the project from inception and we'll continue to work with the project to deliver the concept in readiness for acquiring a lease from Crown Estate Scotland. This is our third involvement in a floating wind project at the Hywind Scotland and Hywind Tampen and will help ensure that Subsea Seven develops a strong position from which to capture [indiscernible] shareholders' promising long-term growth market.  On Slide 16, we have a view of the outlook for prospects in the coming 12 months. The level of tendering activity has improved during the quarter, although it remains focused on the 3 key regions with advantaged economics, Brazil, Gulf of Mexico and Norway. The number of prospects in Brazil has increased with Mero 3, Mero 4, Búzios 6, Búzios 7 and Búzios 8, BMC-33, Gato do Mato and Lapa Southwest, all expected to be bid in the next year.  In addition, we expect a tender for the various packages of Petrobras' rigid riser replacement program is our tender for the PLSV contracts has already been submitted. We continue to expect the conversion of our FEED contract on Bacalhau to full EPIC by midyear, subject to FID by the client.  In Norway, we've increased the size of our early engagement team to handle the high levels of FEED work. We anticipate that this will lead to tenders for EPCI contracts in 2022, and as clients take advantage of the government's tax incentives for new developments. The prospects include a portfolio of projects for Aker BP, for which we are the preferred supplier.  In other areas of the world, the prospects remain patchy, but we have seen some slight improvement in Saudi Arabia. Having restarted offshore activities there, new prospects such as Zuluf have emerged.  In Renewables, we're seeing good long-term opportunities in Europe and Asia, and the tendering for projects in the U.S. market is now active. We anticipate these to be awarded to the industry from late 2021 onwards.  To conclude, we'll turn to Slide 17. After the first 3 months of the year, Subsea Seven remains in a strong position with a robust backlog of $6 billion, and net cash on the balance sheet. The number of prospects in the oil and gas market is picking up in key regions, improving the outlook for offshore activity from late 2023 onwards.  In the interim period, our cost reduction plan is designed to optimize our fleet utilization. We're also actively pursuing a number of offshore wind prospects, including those in the U.S. overall, our strategy to be a market leading, diversified energy services company, leaves us well positioned to capture recovery in the oil and gas market, and in parallel, we'll continue to build on our strong position in high-growth, fixed and floating wind markets as well as the carbon capture market. And now we'll be happy to take your questions.
Operator: [Operator Instructions]. Taking our first question from the line of Michael Alsford at Citi.
Michael Alsford: I've got a couple, if I could, please. Just firstly, on vessel utilization. Clearly, you commented on the fact that there was a number of vessels that were in transit and there was a couple of operational issues. Could you talk a little bit more about how you see better vessel utilization trending in the coming quarters?  And maybe a little bit more elaboration on what you're doing from the cost side to reduce I guess, the fleet and manage the utilization given while you're waiting for the award inflow to come through and money, I guess, in 2023?  And then secondly, just on the treatment of the $18 million credit in 1Q. Could you just talk a little bit more about exactly what that relates to?
John Evans: Thank you, Michael. I'll take the first, and I'll ask Ricardo to take the $18 million credit question. As we mentioned, a lot of our global enablers were in transit during the quarter to position themselves for this year's campaigns. But we do expect the utilization to pick up in quarter 2 and quarter 3.  As we also mentioned, the Vega had to do some repairs in the quarter. So we've reallocated some of its project activities onto some of our other reelers. So again, we are seeing a higher level of utilization on the reel pipe-lay vessels this year as well. So I think as we normally see first quarter relatively quiet, it's picking up as we expect.  We're pretty clear we've got all the work we need to do this year. It's now about liquidating the work that we have this year. But we do see, though, that the lack of awards in 2020 and early 2021 will need to mean that we will continue to have to reshape the fleet going into 2023. So at the end of the season, we'll again shape the fleet to get it to be the right size and scale into 2022 and into 2023. And then as I mentioned, we expect to see these awards that will be in the market in Q2 and Q3 and Q4 this year, leading to quite significant uptick in the work in mid 23 onwards. And I'll ask Ricardo to talk about the makeup of the $18 million credit.
Ricardo Rosa: Consistent with our approach in 2020. We have commented on all adjustments to the restructuring reserve, which we took in Q2 -- in Q2 last year. And we have always commented on those adjustments within the interim management reports that support the press release.  In Q1, we benefited from two adjustments to the reserves. The first was a downward revision to our redundancy costs after assessing and reassessing our resource needs, something we've been doing every quarter, and that was about $4 million. And the second item was the unexpected payment of a client receivable that has been outstanding for several years, and that was approximately $14 million. I hope that clarifies.
Operator: We are taking our next question from the line of Frederik Lunde at Carnegie.
Frederik Lunde: I was wondering if you can comment on how we see 2022 shaping up. Obviously, backlog coverage has improved, but there's still the question of how incoming orders will sort of impact utilization next year. You alluded to late [indiscernible] more the base case.
John Evans: Yes. I think thank you, Frederik. For us, and I made it in my prepared comments that as we stand today, we've got $1.9 billion for 2022 and we have not $1.9 billion of work on the books at this time last year and the year before, although the ratio between Renewables and Subsea and Conventional is slightly different. So I think for us, we expect to see that we will be building backlog during this year, but a lot of that backlog will be for work that will go offshore. Bacalhau is a '23 project offshore. We would expect Scarborough, which is a '23, '24 project or also which we've just taken back through FID with our client and is on our books now will be also late '23, '24.  So the reason we're flexing our fleet is just to get the size right for 2022 and then be ready then to expand it back out again as we pick up in '23. So I think our backlog coverage overall will be in a good place at the end of the year, and we don't see any real change. And as I talked in outlook, we can see quite an acceleration of a number of prospects in Brazil, and we see that Norway will also be pushing ahead. So we expect to see backlog building up, and let's see how '22 plays out in the next few quarters.
Operator: We're now taking our next question from the line of Amy Wong at UBS.
Amy Wong: A couple of questions from me, please. The first one is just a bigger picture on your higher tendering levels that you're seeing, particularly in your oil and gas business, what are you seeing in terms of competitive behavior? How many number competitors are tendering for these projects? And help us understand how that compares to maybe like the pre-pandemic levels?
John Evans: Thank you, Amy. I think what we're seeing is that certainly, the flow of opportunities in Brazil is growing, which is a very positive sign. I read the list of all the bids that we expect to see in the next 12 months. And in our discussions with Petrobras, there's another group of projects to come behind those as well. As you know, in Brazil, it's an opening tendering type of environment, but we would expect to see our usual suspects on those bids. But these are major, major projects, mero 3 and Mero 4 are pretty much identical in size. So that each of these projects will sought 6 to 8 months of a pipe layer up on each one. So we're quite excited by what we're seeing.  The other thing that's very interesting, there is a rise of replacement bid which the market wasn't aware of, which has come out already. This quarter, which is to replace some flexibles, which are failing with steel rises. And there's more than one of those packages due to be bid over the next 2 years. So we do expect to see on the PLSV renewal came out quicker than most of us thought. So I think we will see Brazil and it will be ourselves on the usual 2 suspects in that list.  In terms of Norway, we feel in a strong position in Norway, we were the market leader in Norway for that work. We're in good dialogues with our main clients in Norway. And as I mentioned in my prepared remarks, Aker BP have a very ambitious slate of projects that they would like to try to get sanctioned by the end of and again, we're part of the alliance that does all Aker BPs' work. So again, we're feeling strong, well positioned on those.  And the last area, we do well with the Gulf of Mexico. Over the last few years, we've done over 50% of the work in the Gulf of Mexico, in the SURF world, and we're feeling very strong there as well. So for us, what's been very good for us is that the recovery in the markets are areas that we feel strong about, and we're very well in. So we remain optimistic that we will always get our fair share of the market there. And this bodes well for like '23, '24 and '25, and it's really just trying to work out how all this will fit together is on our minds at the stage. We haven't priced -- we priced Mero 3 that's in in the market today, the PLSVs are priced. So we'll see how the market reacts and who wins the different packages associated with that. We'll see then the other packages such as Búzios 7 and the riser package going in this quarter. And then a series of other bids going in in Brazil.  Norway is slightly different. Most clients are doing early engagement work to optimize the fields, the designs, the layouts, the cost efficiency of those projects. We'd expect those to go to sanction in '22.
Amy Wong: That's a very good color. A quick follow-up, if I may. Going back to your corporate division, there's $18 million credit in there. My question is, if you disregard the credit, I mean this still suggests that their corporate division, is it was breakeven in the quarter, and that compares to a normal underlying like you're usually like mid- to high single-digit corporate loss or expense in that division. So could we read that as improvement in your Xodus in 4Subsea businesses? Or how should we interpret that breakeven underlying results?
John Evans: Amy I'll ask Ricardo to answer that?
Ricardo Rosa: Amy, as you know, we've reorganized our business units such that Xodus and 4Subsea are now included in the corporate business unit. And these autonomous subsidiaries are inherently profitable and do make a contribution. And I would warn you that the corporate activities will also include restructuring provisions and adjustments as and when they occur, potentially including impairments. As well as differentials between allocated costs and underlying costs of our corporate overhead. So please don't assume that the profitability or lack of it within corporate is attributable to the two subsidiaries. They're just a part of a bigger equation.
John Evans: And Amy just to pick up on, as Ricardo said, there the reason we put them into corporate is that those 2 divisions work equally across our energy transition renewables business and our oil and gas business. They're both growing. They're both expanding. We're both -- we're hiring people in both areas. And they provide some fantastic insights into how these markets are developing.  As I mentioned in my prepared remarks, the Salamander project and our discussions with Simply Blue started through work that Xodus had done for that developer. So again, these are very good profitable businesses for us, and we expect quite a bit of growth in those sectors over the next few years.
Operator: We are taking our next question from the line of Nick Konstantakis at Exane.
Nikolaos Konstantakis: A few if I could, please. Starting on the PLSVs, we've seen the different categories and different grades been there. It's kind of a complicated process. Could you just explain to us if you had any more discussion with Petrobras, how many vessels they look from each category? Or I guess to [indiscernible] the question, what would be your expectation or how many vessels would you keep in the country in the future?  Secondly, on CCS and congrats on the Northern Lights awards. I was wondering if you have any addressable market estimate for us, considering the growth that we're seeing.  And if I can squeeze the last one through, apologies if you have talked about this before, but around Salamander and the equity stake is that something you would like to win going forward? Do you think it brings something in terms of you securing some work? And would you be looking to farm down before the start-up of a project once it's de-risked?
John Evans: I'll take Salamander first and then I answer your other two questions. Yes, the intention is that there will be a farm down on that before it sanctions in 2025. It goes for its CFD in 2025. For us, it's again, it's a new sector. It's a new area for the industry. It's also to work with the developers such as Simply Blue, which have a successful track record on their other projects in floating wind to understand the economic dynamics, of the development dynamics that come there, some of the elements like concept selection, which will come later.  To understand the moving parts of the business because if we intend to grow in that business, understanding that, but the aim would be that there would be a farm-down in that before it finally sanctions.  In carbon capture and storage, I think it's early days, but we were doing the review internally earlier this week on the U.K. government's plans for carbon capture. And you can see, for example, U.K., which is one of the more proactive governments moving ahead with carbon capture plans. That there are regional plans around Humberside, Teesside, the Northwest and South Wales, for government to spend money on reducing carbon emissions there. There are projects around that area, which will need an infrastructure offshore similar to a Northern Lights type project.  So what we're interested in is our view, Nick, is the world will go that way. More carbon will be captured, more carbon will be sequestrated offshore. So we don't have a fixed market in mind, but being a first mover and involved in these projects and just you're in the ecosystem with the carbon capture technology that's fitted onshore, you're working with the clients on the reservoir and everything offshore and you're part of that system is what this is about for us at this point to become knowledgeable and a relevant provider of services there. But it's been fascinating to look at the U.K. market and how that fits together. So again, market size will be developed.  Lastly, on the PLSVs, you're right to say the bid of complex. You try bidding it in complex, but we did it. And I think that it's fair to say that Petrobras have not declared how many ships they want in each category. There are 5 categories, as you know, public opening, and we know where our ships are in each of those categories. We're very comfortable with our bids, and we expect the Petrobras over the next 6 to 8 weeks well make their decisions. And we'd expect the award either late Q2 or early Q3 on that. So that's all I can say at this point.
Operator: We are taking our next question from the line of Vlad Sergievskii at Bank of America.
Vlad Sergievskii: Yes. Question one on the order intake. 0.8 times book-to-bill in Q1, you are pointing to increase in tendering activity for the rest of the year. Is it feasible to achieve 1.0 time book-to-bill or above for this year? So that's the first one.  And the second one on wind profitability. A bid was set back in Q1 compared to the second half of last year. In light of that, are you still expecting to make progress this year in the direction of your 10% margin target for wind?
John Evans: Thank you, Vlad. And two very good questions. Renewables in Q1 was really about the fact that most of our assets weren't working in Q1 in Renewables. Our 2 cable layers we're offloading cables in Taiwan, which we couldn't install because of access issues, which we discussed to the market before. And then returning to Europe to be ready for Hornsea 2.  The Yudin stood by on weather. We're now working in a weather window, which we haven't contracted with originally and we're in discussions with our clients on that. Ourselves and most other contractors did very little work in Taiwan through a very rough winter there. And lastly then the Oleg was on maintenance. So really, the draw -- the drag in that period was really about the 4 assets not getting much recoveries. Seagreen Nova has gone very well and continues to do well and is profitable.  We'd expect we'll be back on Hornsea, in fact, this week, we start on Hornsea. So our ships will be laying cables, and they're pretty well full for the rest of the year. We're seeing the weather start to come down. So we expect Yudin to be working in Taiwan for a part of this year. And then the Oleg will start its campaigns in Europe quite soon. So we do expect this on Seagreen. We expect to make progress in the first offshore phase on Seagreen will be the back end of this year. So we do expect us to make progress along that path that we talked about on our Investor Day in September.  Book-to-bill. In terms of book-to-bill, as we mentioned, we would expect to see projects where we are already nominated as the preferred bidder, hopefully to sanction this year, such as backlog and Scarborough. We would also expect to see some of these awards in Brazil, such as the PLSVs and some of the Búzios or Mero portfolio turn to backlog for ourselves. We'd expect to get a reasonable share of that this year. The main question is really the timing of the big American awards. These are very, very large projects in the U.S. with quite some ambitious time lines, whether some of those will be awarded early Q1 next year or the back end of this year is on our minds at this point. So at the moment, directionally, we're heading towards where we want to be for the year. It will just be how those big renewables projects in the U.S. land and get sanctioned.
Vlad Sergievskii: And if I can squeeze another quick one here. You mentioned some small delay on Mad Dog project. Would you be able to give us color on the financial impact of this one in Q1? And whether that any financial effects stealing your way into Q2 as well, or not?
John Evans: Yes. Sorry, just to correct you there Vlad, it's BP Manuel, which is a project that we had the issue with a Vega because we had to do the repairs on the Vega post the storm damage. So that's been delayed. We reallocated the delayed work to our other reelers, as I mentioned in my prepared remarks. And we planned that around this year. So I don't believe there's a significant impact on that. There are some logistics issues that we have in terms of pulling that together. But I -- we're working now and all the pipe-layers are doing the jobs as we plan on for the year at the moment.
Operator: We're taking our next question from the line of Mark Wilson at Jefferies.
Mark Wilson: I just like to ask on the book and turn side of the awards in 1Q, a very strong book and turn additions for revenue this year, about $400 million. And given a bit about $1 billion we've got $3.4 billion for the rest of the year? And given your comments on projects, your viewing like Bacalhau and in Brazil, one would imagine the chance of adding additional book and turn about that amount through '21 is quite likely. So I'm just wondering about the revenue guidance staying at higher than 2020 when you've arguably got visibility on quite significantly higher than that, certainly, if we assume some more book and turn.
John Evans: I think, Mark, the way we look at it, we're reasonably okay for this year. We're comfortable that we've got the work to liquidate this year. Any of the new work that will come in will probably not have a material impact on this year other than the projects we know that are going to be in such as Bacalhau and Scarborough that we expect to be in this year. So I think that in terms, all of this is for execution in later years. So we don't expect to see this year really pushing up much higher than this.  But I think it's the speed at which the Brazil projects may get turned into awards is the only thing that's not clear to us at the moment. I think it's caught us a little bit as an industry on the hop with the amount of bids coming up, but we're not planning on that at this stage.
Mark Wilson: Okay. And so then on the back of that, John, just maybe explain what was specific about 1Q awards that some which of it falls in '21 for the rest of the year is less likely to?
John Evans: That's a good question. I think not clear to me, sorry. Could we have a question again, sorry?
Mark Wilson: Well, in your answer there, you seem to suggest that awards in the rest of the year shouldn't really change your revenue backlog for this year. But the 1Q awards, about half of that actually is falling as '21 revenue. So I'm just wondering why those 1Q awards were so short cycled, quite a large part but the rest of the year what you win, you want to see a decent short cycle? Revenue addition to this year?
John Evans: Yes. There's one project in there, where we're buying some long lead materials, which go to our books this year. So there's some material to be ordered on those, which have an impact on this year.
Operator: There are no further questions on the line. Please continue.
John Evans: Well, thank you very much. We appreciate you joining. We know it's a very busy day today with many companies reporting, but thank you very much for your continued interest in Subsea 7, and you're very, very probing questions. Hopefully, we've answered them. If there's any further questions, please let Katherine know, and we'll try to give you an update on Q2. So we look forward to talking to you then. Thanks a lot.
Operator: That concludes the conference for today. Thank you for participating. You may all disconnect.